Operator: Good afternoon and welcome to the Altus Midstream First Quarter 2019 Earnings Conference Call. During today's presentation, all callers will be placed in a listen-only mode, and following management's prepared remarks, the conference call will be open for questions. I would now like to turn the call over to Patrick Cassidy, Director of Investor Relations. Please go ahead, sir.
Patrick Cassidy: Good afternoon and thank you for joining us on Altus Midstream Company's first quarter 2019 financial and operational results conference call. We will begin the call with an overview by Altus Midstream's CEO and President, Clay Bretches, and Ben Rodgers, CFO, will summarize our first quarter financial performance and provide an update to 2019 activities. Also available on the call to answer questions will be Jonathan Greenberg, Vice President of Corporate Development for Altus Midstream, and Craig Collins, Chief Operating Officer. Our prepared remarks will be approximately 15 minutes in length with the remainder of the call allotted for Q&A. Remarks during the call may also refer to the Altus Midstream Investor Presentation, which can be found in our Investor Relations website at altusmidstream.com/investors. On today's conference call, we may discuss certain non-GAAP financial measures. A reconciliation of the differences between these non-GAAP financial measures and the most directly comparable GAAP financial measures can be found in the news release issued yesterday. Finally, I'd like to remind everyone that today's discussions will contain forward-looking estimates and assumptions based on our current views and reasonable expectations. However, a number of factors could cause actual results to differ materially from what we discuss today. A full disclaimer is located with the Investor Presentation on our website. With that, I will turn the call over to Clay.
Clay Bretches: Thank you and good afternoon. Today, we are going to review Altus Midstream's key accomplishments since our call in February, provide an update on the company's operational and financial performance, and highlight selected opportunities and activities under way to achieve future objectives as we pursue our goal of becoming the premier midstream entity in the industry. Our efforts to date have been focused on building a company and organization that can deliver strong results across changing business activity levels and commodity price cycles. Since the beginning of the year, we worked close with our sponsor, Apache Corporation, to maintain our focus on building out infrastructure that adds value to production from Alpine High, delivers gathering and processing services timely and efficiently, and provides a midstream system that will serve for the full development life of the field. This is progressing well. Our first cryogenic processing plant is mechanically complete and on budget with Trains 2 and 3 following closely behind. I will provide more details on this progress in a moment. Altus has also taken a number of steps to strengthen its financial position. As noted during its conference call this morning and in the news release last week, Apache is assisting Altus in managing its cost structure and reducing shared services costs. Altus expects no change to its 2019 adjusted EBITDA guidance at this time. Altus has made good progress on completion of its 2019 and 2020 financing plan. We have seen significant interest from a number of motivated counterparties. We have the support of an investment-grade sponsor, an experienced deal team, a world-class asset at Alpine High, and top-tier JV pipelines. Discussions are well advanced. Importantly, we have taken proactive steps to create the financing capacity to invest an additional midstream infrastructure, both within Alpine High and downstream of our gathering and processing operations. In short, Altus is open for business, focusing on operational excellence and expanding its well-positioned assets to grow our business in the Delaware Basin and deliver long-term value. Craig Collins joined our team this week as Chief Operating Officer. He brings a unique operations and commercial background to this vital new role at Altus. He spent 15 years with Anadarko with increasing responsibilities in engineering operations and commercial development culminating in the role of COO with Western Gas Partners. This background will serve us well as we ramp up cryo processing capacity in the near term, including the expansion of our cryo processing capabilities and longer term as we build our business in the Delaware Basin to meet the increasing midstream needs of a growing customer base. I also want to note the Jonathan Greenberg has been promoted to Vice President, Corporate Development. Jonathan has been instrumental in the formation of Altus, and in this new role, he will be leveraging our assets and organization to identify and capture third-party growth opportunities. Moving now to operations. We are pleased to announce that all projects are on time and on budget. We currently have approximately 111 miles of gas-gathering lines in service and 52 miles of residue pipelines with four market connections at the northern end and southern ends of the Alpine High development. We can process up to 380 million cubic feet per day of rich gas and 400 million cubic feet per day of dry gas. Our first cryo plant reached mechanical completion last month, and we anticipate that the plant will be in service in the next few weeks. Cryo No. 2 is expected to be commissioned in June and fully operational in July. Progress on Cryo No. 3 is also on schedule for start-up in the fourth quarter. Each plant's name plate processing capacity is 200 million cubic feet per day, equating to a total of 600 million cubic feet per day by year end, although we ultimately expect to be able to process approximately 10% above name plate, resulting in effective capacity of 660 million cubic feet per day by year end 2019. All three plants feature state of the art SRX technology, which provides for better ethane and propane recoveries than the more common processing technology used today in West Texas. We see this processing capability as a competitive advantage that will benefit us when marketing to third parties. The transition to cryos will also improve our operating cost as the new facilities are much more efficient and more reliable than mechanical refrigeration units. Our cryo processing plants are centrally located in an area we call the Diamond cryo complex. This hub is advantageously situated to handle volumes from all areas of Alpine High. The complex is being built on a square mile owned by Apache and dedicated solely to the cryo processing plants and associated infrastructure. While three trains are currently under construction, it's scalable footprint is capable of accommodating up to six cryo plants as well as future optimization projects such as expanding residue compression. We also have the flexibility to accelerate timing of additional plants based on changing production forecasts from Apache and others. I'll shift now to our joint venture pipeline business in which Altus owns or has the option to participate in five pipeline projects that move all three phases of hydrocarbon products: gas, natural gas liquids, and oil. All are progressing well. Kinder Morgan recently reiterated an October 2019 start date of the Gulf Coast Express natural gas pipeline and an October 2020 start for the Permian Highway gas pipeline. Both lines are anchored by minimum volume commitments with credit-worthy counterparties. Enterprise noted during its analyst conference that the Shin Oak NGL mainline is in service. The initial capacity of the line is 250,000 barrels per day, and as Enterprise has stated, it was effectively full on Day 1. The lateral connecting Shin Oak to Waha is expected to be completed by the end of this quarter. After the lateral is in service, Altus has a 60-day window to execute our equity option. During the first quarter, we also exercised our equity option on the EPIC Crude Oil Pipeline. Permanent crude line service is expected in January 2020 with interim service using the EPIC Y-Grade line expected to commence during the third quarter of 2019. For reference, additional details on Altus Midstream's joint venture pipelines are available on the Investor Presentation posted on our website. In closing, I would note that our principle near-term goals are as follows: one, to successfully transition from our present state of mechanical refrigeration processing to the use of three cryogenic gas plants by the end of this year, tow, complete our financing plan, and three, continue to execute on our plan with the five JV pipeline projects. We will continually optimize our operations within the Alpine High. The depth of the drilling inventory at Alpine High provides a long runway for growth. We believe Altus has significant long-term growth potential, including the ability to generate substantial free cash flow in 2021 and beyond, which should enable an attractive dividend yield. Our efforts are focused on execution with an emphasis on reliability, capital efficiency, operating cost, and outstanding customer service. Safe and environmentally sound operations remain our top priority. Our license to operate depends on this unbending principle. Our operations are only successful if the community, our contractors, and our employees are safe and the environment is preserved and protected. I will now turn the call over to Ben to cover in detail our financial performance for the last quarter and the path forward for this year and the years thereafter.
Ben Rodgers: Thank you, Clay. As noted in the press release issued last night, under generally accepted accounting principles, Altus reported first quarter 2019 net income attributable to Class A shareholders of $1.1 million on revenues of $33.9 million. Gathering and processing volumes for the period increased 20%, averaging 564 million cubic feet per day compared with 471 million cubic feet per day in the fourth quarter of 2018. Approximately 53% of these volumes were rich gas. Our first quarter 2019 adjusted EBITDA was approximately $12.1 million, up from $8.2 million generated in the fourth quarter of 2018. Capital investments in midstream infrastructure during the quarter were $258 million. This includes $118 million for the JV pipelines, comprising the exercise of the EPIC crude oil option in February and continued capital calls for our ownership in GCX. $105 million primarily for gathering and processing infrastructure, and $35 million attributable to a finance-lease obligation related to power generators at the Diamond cryo complex. In March, EPIC crew closed on $1 billion Term Loan B and a $75 million revolving credit facility with attractive terms and pricing. This project level financing reduces Altus' share of capital calls to the project based on Altus' proportional 15% share of net proceeds of the term loan. However, Altus' adjusted EBITDA and capital guidance do not change as a result of the term loan because Altus' guidance is based on its proportional ownership of gross project EBITDA and capital, which do not incorporate the impact of project financing. Our capital program in 2019 remains focused on the exercise of our long-haul JV pipeline options. Approximately 75% of our growth CapEx in 2019 and 2020 is related to our JV pipeline projects, including those with options yet to be exercised. In addition to the EPIC crude and GCX projects, we have received Altus board approval and plan to exercise our options in Enterprise's Shin Oak NGL line and Kinder Morgan's Permian Highway Pipeline. Our option to acquire 50% of the Salt Creek regional NGL pipeline expires at the end of January 2020. As Clay noted, Apache has chosen to defer gas volumes at Alpine High in response to recent pricing weakness at the Waha Hub. This temporary production deferral will impact Altus Midstream's 2019 gathering and processing volumes. We expect a large portion of the rich gas to return to production in conjunction with the start-up of the first cryo this month and any remaining deferred rich gas volumes returning to production when the second cryo comes into service in July. We expect that all lean gas volumes will be returned at the latest when GCX comes into service in October, per Kinder Morgan's latest disclosure. The cost structure of Altus primarily consists of G&A cost from Apache, it's sponsor, as Altus has no employees. Apache is essentially a service provider for Altus and has announced that it is providing support to Altus, which includes assistance to reduce Altus' cost structure in managed shared services. Managing the service agreement in this way facilitates Altus' ability to maintain cash flow, execute on the cryo buildout, and exercise planned equity options. Importantly, Apache noted that its fourth quarter volume forecast at Alpine High has not changed, guiding to net production of more than 100,000 BOE per day. Apache's shut-in volumes are expected to have no material impact on Altus' 2019 adjusted EBITDA. Regarding the 2019-2020 financing plan, as Clay mentioned, we have made real progress on this front. Our high quality assets, both the G&P assets at Alpine High and the JV pipelines are very financeable as demonstrated in multiple recent midstream financings, including the billion dollar EPIC Term Loan B, we believe there is a real appetite for these types of infrastructure deals. We've been planning for external financing for our growth capital needs since the formation of Altus Midstream last year, and we're well along the path to completing that process. We have spoken with a number of highly interested counterparts who understand the value of our gathering and processing assets as well as our JV pipelines. We are highly confident in a positive outcome in the near future. Given our focus on investing capital efficiently and managing our balance sheet appropriately, we still expect to be in a position to implement a sound dividend policy in 2021, assuming approval by the board of directors. I will now turn the call over to the operator for Q&A.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question comes from the line of Spiro Dounis of Credit Suisse.
Spiro Dounis: Hey, good afternoon, gentlemen. How are you?
Clay Bretches: Good, Spiro. How you doing?
Spiro Dounis: Not too bad. I'll just maybe start off on the last point, Ben, around financing. It's encouraging to hear you guys are pretty far along on that front. To the extent you can, maybe just provide a little bit more color around it? I think some of the things we're looking at to maybe get some clarity on, you mentioned potential for a Term Loan B I guess out there. Could this financing take multiple forms? Maybe a Term Loan B and maybe a preferred offering? And then just in terms of timing, how should we think about you concluding your discussions?
Ben Rodgers: So, I should've been clearer. Sorry for the confusion. I referenced the EPIC Term Loan B as just one type of financing that's been done in the market recently. You're probably aware of Noble Midstream's preferred that they did at the asset level for EPIC, and the EQM also did a convertible preferred at the corporate level. They announced that a couple months ago as well. So, just kind of highlighting the number of different investment options that are out there. It really comes back to what we've talked about before. These assets are very financeable. Even outside of that, we've got a very supportive bank group. The banks are 100% crossover to the Apache bank group, so a lot of support there from our bank group. They understand the buildout nature of this. They understand the value of Alpine High. And so, we're looking at a bunch of different options with really three goals in mind: making sure that as we look to finance our net financing need, definitely in 2019 but beyond, making sure that we have a strong amount of liquidity, and manage our weighted average cost of capital for that financing, and then make sure that we minimize any friction costs associated with refinancing anything we do in the near term as we kind of right size our balance sheet in a couple years. Once we do reach our EBITDA goals, the midpoint of our 2021 EBITDA guidance is $450 million. That's obviously a lot different than the $85 million of our midpoint this year, so it would expect to kind of right-size things in a couple of years and make sure we can manage through the friction costs. So, there's a lot of different pieces that we manage through as we look at financing, but when we do have something lined up, we'll definitely make sure that it's announced and outlined for folks the reason we went a certain path.
Spiro Dounis: That's helpful. And I just want to sort of reiterate to make sure I understand it, but it sounds like you're running a multitrack process right now, and ultimately, you're not looking for an interim or bridge solution. Whatever you sort of come out with is something you'd expect to sort of have on the balance sheet for a longer period of time. Is that fair?
Ben Rodgers: Yeah, that's fair.
Spiro Dounis: Fair enough. Second one, just thinking about next year, Kinder seemed to indicate that Waha maybe could be back in the same position this time next March or April, with everyone just waiting for Permian Highway to come back online. Obviously, you guys have GCX coming as well as the cryos. Just wondering how you assess the risk of another deferral this time next year if Waha goes negative the way it did. Is that sort of a low risk in your mind just given all the other things in front of you?
Ben Rodgers: Yeah, I think it's low risk for us. I'd have to refer you to Apache's guidance. I know they provided production guidance for 2019 and not into 2020, but for the market generally, it's really hard to forecast past 2019 just kind of given rig count and production growth in the Permian, but I think it's fair to say that we're going to be in a good position, and we've got sponsorship support, and again, most of the drilling from Alpine High, as Apache talked about in the February call as well as this morning, is going to be in rich gas anyway, and that puts the impetus on the cryos and making sure we have the ability to process that gas.
Clay Bretches: And Spiro, this is Clay Bretches. Just to reiterate that if you look, just all things being equal next year versus this year, just having all three cryos in place and processing will clearly improve the net backs of any of the producers, including Apache in the area. So, we really believe that that higher liquid yield makes the situation much different than it is today when we flow that rich gas through mechanical refrigeration units and the liquid yields just aren't that great. So, you're selling a lot of the BTU away at methane prices whereas next year with all three cryos on, we'll have great recoveries because of the SRX technology that we're employing. We'll have 100% liquid recoveries of propane plus if we're in rejection on ethane, but if we're recovering ethane, we'll have 100% on that as well as 100% on all of our other liquids as well. So, it will be a significantly different picture, again all things being equal, this time next year, even if we did see that constraint that you're talking about.
Spiro Dounis: Got it. That makes sense. That's it from me. Thanks, guys.
Operator: Our next question comes from the line of Mirek Zak of Citigroup.
Mirek Zak: Hi. Good afternoon, everyone. Further talking on the financing options, can you give an idea of if you're looking a little bit more at temporary financing or structures that allow you to maintain the ownership of these pipeline interest and options, or are you getting more interest or options around more permanent financing methods here?
Ben Rodgers: Hey, Mirek. This is Ben. So, what we're looking at is a solution that allows us to exercise the options this year, and namely – and that's a third quarter event. You recall the option exercise deadlines that are outlined for both Shin Oak and PHP. Both are in the third quarter. And so, we're going to line up financing to make sure that we can exercise those, and it's going to be a number of factors. I just reiterate that we've got a strong bank group. We're talking to our banks about different options, and then there's other investors that we're talking with, and there's different routes it can go. Don't want to do anything that's kind of short term, so I would say that anything in the bridge loan financing, it's definitely an option, it's just not on the high end of the priority table here for us. We're looking to do something, again, that manages our liquidity, our all-in cost of capital, and making sure that in 2021 and beyond, we can pay our dividend and kind of have a right sized balance sheet that you see with our peers that kind of have more long-term financing like regular-way corporate bond deals.
Mirek Zak: Got it. And when might we see the shared costs with the Apache when reverting back to regular levels?
Ben Rodgers: So, that's really at Apache's discretion, and we're working with them. I'll just say that the COMA that outlines all the different costs is one of the largest expenses that Altus has to manage, but there's other expenses, and so Altus is managing all the different costs that are at our disposal during a time when we expect volumes to be lower. I can't really speak to the exact timing of that, but as we assess the forward-looking gathered volumes, which was outlined in our press release, and when we look at that based with how we expect to decrease costs, we put all that together and did not choose to move the midpoint of our guidance or our range. But can't really speak to the specific timing of that because that's really unknown.
Clay Bretches: But Mirek, this is Clay, and just to follow up a little bit on that, if you take a look at what we're about to see, which is the Cryogenic Plant No. 1 coming on at the end of May and Cryogenic Plant No. 2 coming on at the end of July, that means very likely that the economics will return to process the rich gas again because of the rich liquid yields that Apache will receive when they go through the processing plant. So, if you think about it from that standpoint, there just shouldn't be that much deferral, at least along the rich gas lines at that point in time. So, again, it will be Apache's decision to make, but clearly their economics will be better once those cryos come into play.
Mirek Zak: Got it. And just one more quick one. Regarding the water handling assets up at APA and the development of those, has the timing around potentially executing on that, has that changed at all since IPO or does that maintain status quo?
Ben Rodgers: Status quo. We still have a right of first offer on those assets, and a lot of it will just be dependent upon how much water is produced and at what point in time that Apache thinks that it would be a good idea to put those assets up for sale. So, at this point in time, it's unknown, but we clearly stay in advantage because we do have the ROFO on the water assets as well as the oil assets. So, we look at that as a great potential for upside in the future; we just don't have a time frame on it.
Mirek Zak: Thanks for the clarity. That's all for me.
Operator: [Operator Instructions] Our next question comes from the line of James Carreker of U.S. Capital Advisors.
James Carreker: Hey, thanks, guys. I was wondering if I could ask about the original throughput guidance had a high end of 575 million cubic feet, and Q1 came in at 564 million cubic feet, so I'm wondering did that original guidance have some level of deferrals built into it, just given that you came in so close to the high end in Q1?
Ben Rodgers: No, it didn't have any expectations for deferrals. That was our expectation at the time. Recall that was an assessment from decreased activity across all of Apache's assets when they announced the $2.4 billion capital budget, and that was a reflection of our expectation at that time. And really, a lot of that was they talked about on the call the deferral of lean gas drilling definitely outside of our guidance period. And so, the main impact for that was lean gas coming down and rich gas coming up, but it's nice that we were at the 564, which is at the high end of our range for the first quarter.
James Carreker: And then I guess just thinking again about your guidance and what Apache said in their presentation, they reported 70,000 barrels a day of production in Q1 and are looking to increase that to over 100,000 barrels a day I think by Q4. How should we think about the ratio then of how many barrels equals how much a day of throughput if you just scaled both numbers up by the same percentage? It would be something north of 800 a day by Q4, so I'm just wondering what are the variables that go into thinking about translating those numbers?
Ben Rodgers: There's a lot that goes into it. I would just point you to our guidance numbers for Altus' financial metrics. There's a lot that goes into it from composition changing and where Apache's drilling based on different BTU content, NGL yield, and shrink, and fuel. And so, there's a lot of different pieces that move, so I would just recommend that you continue to look at our guidance level. We've guided down on the volume side by 25 million cubic feet a day with a midpoint now of 525 million cubic feet but did not change our EBITDA.
James Carreker: Understood. But then I guess if I just think about the cadence then, Apache's looking at a pretty steep decline in their net production for Q2, and then kind of growing throughout the year, is at least that kind of shape what we should expect for the next three quarters?
Ben Rodgers: Yeah, I mean, that's directionally right. We don't provide quarterly guidance, but I would expect that our volumes are less in 2Q and then pick up in Q3, and then we're right back on step in Q4.
Clay Bretches: And James, I would just point you toward the guidance that Apache gives because they do give quarterly guidance in their supplements, so I would suggest that you take a look there. And further to Ben's point earlier on the barrels, a lot of this just has to do with when these cryos come in, really good things happen. The mechanical refrigeration units that we have out there right now, they are adequate for what they do, but the truth of the matter is we're really going to kick tail once these cryos go into place, and our processing when all three of those are out there churning and burning, we're going to have a lot of barrels coming through there. We'll have 100% recovery, and we won't be selling it down the pipeline as methane.
James Carreker: Can you talk a little bit about how much better the cryos are versus the mechanical refrigeration? Is it a 10% increase? 22x? I mean, what's the broad…
Clay Bretches: That's a great question. So, just as an example, when you start taking a look at the delta in recoveries, right now, we recover very little ethane whatsoever, and clearly, we'd love to be able to have ethane throughput because of the margins. You're looking at ethane recovery's less than 20%, and ethane of course is the biggest component of all of your NGLs. We have less than 20% recovery right now because of the temperature of those MRUs, which is substantially different than what it is when you go into full cryo mode. So, right now, for example, when we're going through our mechanical refrigeration units, we're at about 20 degrees below zero. When we go into full cryo mode, we'll be about 150 degrees below zero. So, with that comes 100% recovery efficiency on your ethane, which will significantly increase your liquids overall. Same thing with propane, butane. Everything goes up significantly. Not as radically as that, but you go from a 65% recovery on propane with an MRU to something right there at 100% when you're going through the full cryo mode with this SRX technology, which again, we spent a little extra money to have that, but it clearly creates an advantage to all of our customers right now and Apache. But in the future, any customer that would come through that plant is going to experience a better recovery than they would through an MRU or even conventional technology, which is predominant in West Texas, which is the GSP technologies that are abundant throughout West Texas. So, pretty special stuff, but greatly will enhance and increase the liquid yields that comes from those liquid rich gas.
James Carreker: Thanks. Appreciate the color.
Operator: Our next question comes from the line of Christopher Tillett of Barclays.
Christopher Tillett: Hi. My questions have been answered. Thanks, guys.
Ben Rodgers: Great.
Operator: And thank you. That concludes the Q&A portion of today's call. Thank you for joining today's conference call. You may now disconnect.